Operator: Good day. And welcome to the SRAX Second Quarter 2017 Results Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Kirsten Chapman. Please go ahead.
Kirsten Chapman: Thank you, Ashley. Good afternoon, everyone. I’d like to welcome all of you to SRAX second quarter 2017 conference call. This call is being webcast and is available on the Web site. In addition, today we'll use an accompanying slide show to review SRAX Reach. You may view this via the webcast or download the slides from our Web site at srax.com/investors. With us today from management are SRAX’s CEO, Christopher Miglino; COO, Kristoffer Nelson and CFO, J.P. Hannan; Chris Miglino will review the Company’s second quarter 2017 highlights; Kris Nelson will provide an overview on SRAX Reach; J.P. will discuss the operations and financial metrics; and then Chris Miglino will open the call for questions. Before I turn the call over to management, I would like to remind you that in this call management’s prepared remarks contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements during the question-and-answer session. These forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When used in this call words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to SRAX are, such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated by SRAX at this time. In addition, other risks and uncertainties may be described more fully in SRAX public filings with the U.S. SEC, which can be reviewed at www.sec.gov. Please take note that on today’s call management will refer to certain non-GAAP financial measures in which SRAX excludes stock-based compensation expenses and other items from its GAAP financial results. Please refer to SRAX press release for a full reconciliation of the non-GAAP performance measures to the most comparable GAAP financial measures. Now, it is my pleasure to turn the call over to SRAX’s CEO, Chris Miglino. Chris?
Christopher Miglino: Thank you, Kirsten. Good afternoon, everyone. Let’s begin with our overall financial performance and guidance. In the first half of 2017, we successfully refocused our sales efforts on higher gross margin revenue, which drove our second quarter gross margin to 56% versus the prior year gross margin of 32%. As we shared previously we had a goal to get back to our historical margins, which has been trending around the 50s. We’ve done it and we’re very pleased to have done it in a quicker timeframe than originally anticipated. Even though our revenue was down for the Q, we generated more gross profit than we did last year at this time. In the second quarter, we furthered the cost management efforts we took in March by realigning and redesigning our buy-side organization into more efficient and effective operational unit. Together, the higher gross margin revenue and the linear infrastructure generated positive adjusted EBITDA of $221,400 for the quarter. As adjusted EBITDA is a key performance indicator in ad tech, we’re highly focused on continuing to delivering EBITDA positive number, and we’ll prioritize our strategic decisions to drive additional improvements. To that end, as we eliminate low margin revenue, we’re adjusting our revenue guidance to be approximately $36 million. Nonetheless, with stronger gross margin and less OpEx, we remain confident in our 2017 adjusted EBITDA guidance of $2 million to $5 million, which would imply an improvement of at least $3 million compared to the adjusted EBITDA loss of $1.6 million in 2016. Now, let’s review the advancements on those sides of the business. SRAX serves two primary sets of customers; marketers, who we refer to as buy-side; and content owners, whom we refer to as sell-side. On the buy side, we have Social and our different verticals. SRAX Social leverages programmatic technology and Big Data to shared schedule and automates social media content. You could see the latest version of this product at SRAXSocial.com. In the second quarter, we launched the Facebook Boost Integration, a paid feature within SRAX Social where boosted Facebook post through to SRAX Social can be targeted to specific audiences by age, location and interest, among other data points. The tools refer to many planned monetization opportunities that we developed and integrated into the SRAX Social.com. In SRAXmd, our pharma vertical, we continue to see growth. We posted 130% growth in SRAXmd related revenue year-over-year. Inspired by the success, we have launched two new verticals in addition to our CPG and MD verticals; the first vertical is automotive. SRAX Auto is powered by seven tools and to delivering a higher share of voice and better click-through conversion ratios, even beyond auto related sites. It provides auto marketers unprecedented marketing capabilities; SRAX Auto reaches drivers at dealerships auto events at home with both desktop and mobile units. The second vertical is sports and entertainment. SRAX Sports is powered by six tools and to boost the advertisers' presence in stadium’s driving ticket sales and circulating pre and post game promotions of brands. Our full suite of support ad technology solutions is designed to support in-stadium advertisements with mobile, social video campaigns to help sports marketers better engage sports fans. On the sell-side, we continue to grow our SRAX App business. During the second quarter, we increased the size of the app dedicated sales team to drive this effort. The number of apps we've on-boarded grew 300% in this year's second quarter compared to last year. We continued to gain more app installs, thus more data that we're collecting through the app business. That brings us to SRAX Reach. Today, I'm proud to have with us that our COO, Kris Nelson, to review SRAX Reach in greater detail. As noted earlier, we have a presentation on the Web site accompanying this presentation. I'd now like to now turn the call over to Kris.
Kristoffer Nelson: Thank you, Chris, very happy to be with all of you this afternoon. And my name is Kristoffer Nelson, and I'm COO at SRAX. We're excited to present our newest product line, SRAX Reach. Though, it's one of our most recent initiatives, SRAX Reach has become a major revenue and gross profit contributor. We started SRAX Reach mid-last year and fully launched in November of 2016. Since then, we've seen significant growth and opportunity. SRAX Reach is a custom ad unit that features content and standard brand advertising, and standard IAB ad slots. We have partnerships with major publishers and brand advertisers. Our units are placed on premium publisher sites and they present content in data formats and standard display advertising. You can see 300 by 600 ad units here on slide two of the presentation; that features both native ad content and standard display unit. It's native advertising, with the massive distribution infrastructure of traditional standard display; native has grown substantially; native was up 74% in Q1 of this year. Though, traditional standard display is so valuable and effective format, performance has decayed overtime; and with the rise of ad blockers, publishers and advertisers are looking for new formats to generate revenue for publishers and audience reach for advertisers. The big challenge for advertisers is that native market is very fragmented with a lot of different players in this space; publishers have different formats; there is different distribution platform with different ad creative specs. Everything from Google search results, to Facebook advertisings, to in-content stream, sponsored content is the native additional; finding scale of challenge for advertisers and integrating many different formats is challenging for publishers. SRAX Reach solves these problems. SRAX Reach utilizes standard formats and placements already existing on publisher sites and distributes through existing ad platforms and servers. The content within the unit matches standard content recommendation links on-sites and are not blocked by ad blockers. This enables publishers to recover loss revenue. The SRAX Reach ad unit brings the best of social ad formats to the standard Web, creating a unique and engaging experience. Here is one example of a brand takeover. As you can see on slide six of the presentation, this is much different from the standard display ad unit. As mentioned earlier, this is a new product line, but has been a substantial contributor to the overall SRAX business. We have applied a phased approach to rollout and grow this product; Phase 1 focused on technology product and publisher integrations; Phase 2 included multiple paid and high quality content integrations; and now we approach Phase 3, where we’ll be working towards unique and custom brand integrations, which provide successful crossover opportunities for other SRAX product lines. As this product grows, we are building a unique eco-system bringing value to publishers and content creators in relationship with advertisers, to overcome some of the big challenges facing the digital ad eco-system. Now, I’d like to turn the call over to J.P. for a review the financial results.
J.P. Hannan: Thanks Kris. For the second quarter of 2017 compared to the second quarter of 2016, revenues were $6 million compared to $9.2 million in the prior year’s first quarter; it's reflecting a decrease in revenue from our significant legacy customer and our efforts to reduce low gross margin revenue. These are partially offset by an increase in revenue from our SRAX buy-side and sell-side clients, as well as continuing growth in SRAXmd. We have additionally taken several actions, including the reorganization of our sales personnel in an effort to broaden our customer base and expand our product offerings to additional buy-side clients and explore new channels of revenue. Gross profit was $3.3 million compared to $3 million in the second quarter of 2016. Gross margin was 55.8% compared to 32.3% in the prior year’s second quarter, reflecting the benefits from reduced low margin revenue. Second quarter 2017 operating expenses were $3.3 million compared to $4.1 million in the second quarter of 2016, which then included $670,000 impairment of goodwill. Other expense of $729,000 represents the net impact of financing and associated transactions in the second quarter. Our operating loss was $9,000, improved compared to operating loss of $1.1 million in the second quarter of 2016, reflecting the strategic focus on higher margin revenue and more efficient sales operations. Net loss was $738,000 compared to net income of $1.9 million in the second quarter of 2016, which then included $3.7 million write-off of a contingent consideration. Adjusted EBITDA was $221,400 compared to an adjusted EBITDA loss of $4,900 in the second quarter of 2016. With regard to equity, approximately 8 million common shares and approximately $3.7 million warrants are currently outstanding. We ended the quarter with $397,000 in cash. We expect that the reduction in our operating expenses, coupled with our focus to improve the technology tools that we offer to enable both publishers and advertisers to maximize the digital advertising initiatives, will result in a reduction in our need for outside capital during the balance of 2017; all of that has benefited our liquidity. But we still have an option to raise an additional $3 million through the green shoe related to our Q2 financing that we do intend to pursue. We are updating our 2017 guidance. As a result of our strategic refocus on higher gross margin revenue, total revenue guidance has been adjusted to approximately $36 million, and that’s approximately flat with 2016. We expect gross margin for 2017 to be between 47%, which is the blended rate of the first half of this year, and 55%, which is our current gross margin. This is a significant improvement compared to 35% we were at in 2016. With this, we are guiding for 2017 operations to be between a loss of $200,000 and income of $2.7 million compared to an operating loss of $4.8 million in 2016. So while we are lowering our top-line guidance due to our focus on high quality, higher gross margin revenue, we are able to reiterate our 2017 adjusted EBITDA guidance to be between $2 million and $5 million. And that’s up from an adjusted EBITDA loss of $1.1 million in 2016. And with that, I would like to turn the call back to Chris.
Christopher Miglino: Thanks J.P. As I mentioned at the start of the call, in the first half of 2017, we successfully refocused our sales efforts on higher gross margin revenue. We also realigned and redesigned our buy-side organization to more efficient and effective operational unit. The higher gross margin revenue and linear infrastructure will generate even greater positive adjusted EBITDA in the second half of 2017 than what we achieved in the second quarter, as we progress towards net income profitability. We’re excited about our current vertical, such as SRAXmd, which continues to post solid year-over-year revenue growth. And we look forward to updating you on the progress we believe our newly announced vertical, SRAX Auto and SRAX Sports, will quickly make. Also, we have several upcoming investor events. In September, you can see us at the LD Micro Summit in San Francisco and the Rodman & Renshaw Annual Global Investment Conference in New York City. In October, on October 17th and 18th, we’ll be hosting an Investor Analyst and Investor Day at our operations in Mexicali, Mexico. We’d love to see you there. And if you’d like to arrange to come, please contact our investor relations firm to arrange an invite. I would now like to turn the call over to the operator for Q&A.
Operator: Thank you [Operator Instructions]. We'll take our first question from Jim McIlree with Chardan Capital. Please go ahead.
Jim McIlree: You're still looking for a pretty significant ramp in revenue than the second half of this year. And I am just hoping you can articulate how that's coming about?
Christopher Miglino: So both SRAX Reach and MD, historically, have had pretty big fourth quarters. So when we launched Reach in the fourth quarter of last year, we had a really significant ramp at revenues, off of the Reach product in the fourth quarter of last year, and we're seeing that trend continuing up into the state; so we think that that Reach product will continue to contribute there; and then also MD has really solid bookings throughout the end of this year.
Jim McIlree: And are you, I don't want to say completely but let's say substantially, done turning away the low margin business with that process been washed out now?
Christopher Miglino: Yes. We had significant concentration of customers in that last year at this time where now we're much more diversified on that customer base. And a lot of the SaaS oriented products, like SRAX Social and our platform services, are much higher margins than what we were seeing from that individual customer that was driving significant revenue to us last year. So the answer to that is yes.
Jim McIlree: And so in the second half, as you ramp up your sales, I'm assuming that the operating expenses ramp up a little bit. I mean is that just, just doing the math on your guidance. It doesn’t look like it's up substantially, but I mean it's up a little bit. Is that fair enough?
J. P. Hannan: Yes, it's still [multiple speakers] sales conditions to variables for the revenue.
Jim McIlree: I think I got that, you said that that would reflect the sales commissions on the increased revenues. Is that right, J. P.?
J. P. Hannan: Yes. And then one thing that I would just point it at to Chris has said about the specific, some of our individual businesses. Just keep in mind also that we’re an advertising business and advertisings are seasonal, and our business is typically about little more than 60% in the second half of the year generally, and 40% or so in the first half.
Jim McIlree: So the second half, we're going to get the benefit of that seasonal improvement, as well as the product contributions from Reach and MD?
J.P. Hannan: Yes, exactly.
Jim McIlree: And Chris, you've talked about the CPG, Auto and Sports, and Entertainment verticals. When do you think that those might be big enough to highlight their contributions once you've done with MD? Is it a six month process, a 12 month process, an 18 month process?
Christopher Miglino: I think, it's a six month process to start to see that contributions. We've started the initial outreach to the customers, and then we're having -- we’re getting a lot of reception.
Jim McIlree: And do those verticals…
Christopher Miglino: These were quite…
Jim McIlree: So you’ll start to see that contribution at the beginning of next year?
Christopher Miglino: Right.
Jim McIlree: And does that require a new sales force, or you’re using existing sales people to sell those?
Christopher Miglino: We’re using the existing sales team to do that.
Jim McIlree: And then just lastly, you talked about the shoe for the financing. And I am assuming that that’s part of what you were contemplating for the put liability. Is that, am I right to link those two?
Christopher Miglino: Yes, that’s a source of capital we’re pursuing; we’ve raised $5 million to-date; we have the ability to potentially go up to $8 million, so another $3 million; and the portion of which we would use for satisfy that -- the liability and other working capital needs.
Jim McIlree: And is that incremental $3 million on the same terms as the original five?
Christopher Miglino: Yes.
Jim McIlree: And then J.P., as you ramp in the second half. Does that -- what kind of working capital requirements will that entail?
J.P. Hannan: Well, as you saw from our balance sheet, we don’t have a lot of reserve cash on the books; it certainly been tighter than it has been; the team has done a great job of focusing on margin and focusing on profitability, and reducing expenses. So we think, without the shoe, we’ll be able to make our way through the second half of the year. But liquidity will be tight.
Operator: We’ll take our next question from Michael Kupinski with Noble Financial.
Michael Kupinski: Thank you. Most of my questions have been answered, but have a couple of additional ones; the variance in the revenue guidance. Was that out of the buy-side or the sell-side?
Christopher Miglino: Mostly out of the buy-side.
Michael Kupinski: Of the buy side. And in terms of your thoughts in reorganizing your sales effort, it sounds like you’re putting more effort in the buy side at this point. Is that right, did I hear that right?
Christopher Miglino: Well, when we restructured it at the end of the first quarter of this year, we take the initiative of getting rid of a lot of the stuff that wasn’t generating us a lot of money, reorganizing the team and reorganizing the sales leadership. And now, we feel like we’re in a space where that’s stabilized and the team is ready -- they’re bringing in good business now and they’re also getting ready to bring additional products to market.
Michael Kupinski: And in terms of the SRAX Social, you’re not really anticipating that that’s going to have much revenue contribution for the balance of this year. Is that right?
Christopher Miglino: Correct. SRAX Social, for us, is much more of a data-information play where we give it away for free to the agencies to use, and it helps us understand how their customers are interacting on social, so that we can give them more insights into how they should be spending media dollars around that data; so while SRAX Social is an amazing tool and it has revenue opportunities in it with the boost feature that we mentioned, it’s very -- the value of the data is much more valuable than the advertising dollars that are coming in through the platform.
Michael Kupinski: And as you cycle through this -- the lots of that piece of legacy business there; when do you anticipate that you will start to show positive revenue trends; do you think that will be in the first quarter? Or given the fact that there might be into the second quarter this year or next year; when do you think that you will start to make the revenue shift? or do you think that there is further revenue less -- in other words, I am just wondering how -- when will you start to focus on revenue growth rather than focusing on operable revenue growth?
Christopher Miglino: Well, it will happen organically and naturally because the new business that we’re bringing in falling into the higher margin side of things. So it’s going to happen over the next few quarters here. And I think as Reach is -- Reach is a day-to-day hour-by-hour type of thing, and if it continues to go the way it’s going now, then you will start to see that very soon.
Michael Kupinski: And ideally, what are you in terms of your FTE count on in sales display?
Christopher Miglino: On both, what we call the buy-side, which would include MD team. There is around 11 people on that -- in that organization.
Michael Kupinski: And in terms of where you would like to see that grow to Chris. What are your thoughts about where you would like to see that, let’s say, this time next year?
Christopher Miglino: We’d like to see that grow on within the verticals. So as the verticals are catching on; we would like to see the teams grow, similarly where we have a team that’s dedicated MD; have a team dedicated to auto; a team dedicated to sports; team dedicated to CPG. So we could envision doubling the size of that within the next year. But we’re not going to be that -- we’re going to be that methodically without comprising the adjusted EBITDA number. So that’s very important to us at this point.
Operator: We will take our next question from Dave Levine with [indiscernible] Research.
Unidentified Analyst: Can you give me a sense -- of this legacy customer, I guess I was looking at the revenue number, which has, I guess, probably taken everybody back a little bit. And if I am looking at this right, it looks to me like there were adjustments in the second quarter relative to the guidance that -- and were related to that legacy customer, may be more just related to marginal business overall. Because as I am looking at the guidance, I am thinking you really are expecting the balance of the year to be in line with the original guidance, ex the number of revenue compression for the second quarter. Is that about right, and I think if that’s the math, if so…
Christopher Miglino: Yes.
Unidentified Analyst: So the legacy customer, can you give us any sense of what -- did that legacy customer contribute to revenues at all during the quarter?
Christopher Miglino: During the second quarter?
Unidentified Analyst: Yes.
Christopher Miglino: The current quarter or last year?
Unidentified Analyst: The second quarter, this finished quarter?
Christopher Miglino: No, not at all.
Unidentified Analyst: And so certainly some of that -- but that was something you sort of anticipating. So I guess what I'm getting at is, is some of the revenues compressions in 2Q related to just washing of, not just that legacy customer, but it looks to me like looking at the margins, but just marginal business in general. I mean is that reasonable?
Christopher Miglino: Yes. I mean we started cycling this legacy that we talked a lot about; so cycling out middle of second quarter last year, so we've comped through that now. And you're right, I think going into this year, we anticipate that there would be some lower margin business, not that low, but lower than where we are. But there’s the refocus -- the middle of Q1 that we really want to focus on high margin quality revenues. And so that's what we delivered. So as you see on that gross profit it has grown.
Unidentified Analyst: SRAXmd. Can you give us any sense of what SRAXmd contributed to revenues in the second quarter? And maybe what you -- some general sense of what that looks like for the year. So I'm just curious as to what -- how SRAXmd fits in this in terms of revenue mix?
Christopher Miglino: The SRAXmd is a great business for us. As we anticipate, all of these different verticals are and will be. But to-date we haven't broken out the revenue for each of them. While we might do that in the future, we haven't done that publicly to-date.
Unidentified Analyst: On the adjusted EBITDA guidance. Can you give me any sense of what portion of the adjusted EBITDA guidance might be related to some of those specific one-time charges that you can -- that you’re allowed to put into that number?
Christopher Miglino: I don’t follow. I mean anything that was one-time unusual or significant non-cash items, like stock comp has been added back in that reconciliation. So it's excluded from that that adjusted EBITDA guidance.
Unidentified Analyst: So it's a little bit more conceptual. But I'm wondering if just the sort of gone for -- obviously, you're at a point now where you're restructuring the business to higher margin and more profitable business, better business, I think, and I look at and while the revenue compression is little bit comprising. And so to looking at the margins and thinking that the trend right here. When you look around the industry and you look at something like the Rocket Fuel transaction. Does the prospect of consolidation in the industry at a point where you're just now trying to emerge into earning the business and really getting its profitability. Does that concern you at all? I don’t know if I asked, if I am asking that question the right way. But I mean, I am wondering if that thing keeps you up at night?
Christopher Miglino: Well, focusing on the EBITDA number is important, because not only for the success of our business, but there is only a handful of companies in the ad tech space that are adjusted EBITDA positive. And we’re proud to have that number at a positive level, and that type of thing would attract consolidation. So that type of thing would attract others in the space, because buying negative cash flow businesses or negative EBITDA businesses is very difficult in the ad tech space right now. And for any type of consolidation to happen, whether we were the buyers or somebody else was a buyer, you have to have positive adjusted EBITDA for that to happen. So that when you consolidate the entities together that you see synergies and could even generate additional adjusted EBITDA; so doesn’t keep me up at night. I think that if we were trending to the negative side there, which of Rocket Fuel has struggled with on getting to positive adjusted EBITDA, it's been a roller coaster ride for them around that. But as we’re focused on that, it's been something that hasn’t really concerned as much; it's been something, I think, that has been favorable for us.
Unidentified Analyst: If you sense the trend in the industry will probably be towards more consolidation rather than less?
Christopher Miglino: I think so. I think that there is not a lot of venture capital money coming into the ad tech space. There are the companies that have been funded and are out there now are leveraging what they have. So I don’t think that there is a lot of new entrance into this space, and that there is a lot of synergy between companies coming together and putting their resources together with their different product sets.
Operator: [Operator Instructions] We’ll take our next question from Scott Reed with Vict10n Capital Strategies.
Scott Reed: So first of all, congratulations on the lift in the gross margin, that’s probably among the most impressive of any company I’ve seen in my time…
Christopher Miglino: Thank you…
Scott Reed: But I think you’re completely re working your business here, so kudos there. Most of my questions have already been answered. But first question I had relates to a comment that was made during the Reach presentation. I know that ad blockers are particular pain-point for content providers these days. And you made a comment that, well you see a lot of it -- because it's enabled ad I suppose it fits into the site content recommendation parameters, and so it's able to overcome the ad blockers. Could you describe that in a little bit more detail, and how that works?
Christopher Miglino: I’ll let Kris do that.
Kristoffer Nelson: So ad blockers looks for specific image and text formats that match the standard ad creative. And so with the SRAX Reach product, we’re putting the content and a unique way for an ad format, but not a unique way for a site. And so on the majority of publisher sites, publisher content sites, there are right hand rails, left hand rails and various other areas in the site, recommendation links and recommendation images or other contents on, on that site or other partner sites. The Reach ad unit matches this format. It doesn’t look like a standard ad when it present in content. Though, it may look like a standard app when it’s presented in ad. When it’s presenting content, it allows for ad blockers to believe that content presents on the site. And as far as the user experience goes, it’s very integrated into the sites lighter native ad experience. And so with combination of those things, it’s presented more frequently and not challenged as much as other ad taps. We have tested this with a variety of different internal blockers, found in most cases the ad unit works very, very well.
Scott Reed: And then final question, it pertains to guidance. And I know it was already stated that you typically see about a 60-40 split between first half, second half of the year, which would imply that second half of the year usually -- you can expect may be about 50% growth just on seasonality alone. You guys, of course, are guiding to something greater than that. And so, as I think about the business unit performance and the comparisons and whether you guys have been able to do this growth in your business lines in the past. Is it appropriate for me to look back, historically, and see what sort of growth performance you’ve been able to obtain in your other business units, whether it’s 2016 as the best year or 2015 for that matter, in terms of doing year-over-year comparisons or year-over-year comparison is just not appropriate here now that it would appear that this quarter, for example, is resetting the baseline for quarter-over-quarter performance. Is there any way you could -- I could look back and may be get comfort around your ability to grow specific business units, if I was to look back historically, or are you in more of a greenfield opportunity here?
Christopher Miglino: Well, we’ve never broken out all of the different business units that we have. So I’ve been working in the ad tech business for really, really long time. And we’ve been in this business since 1993 before ad tech was even called ad tech. And during the course of that timeframe, there always tends to be things that are generating a significant interest from advertisers at one given time. And so you tend to get fluctuations in the money that’s flowing into specific area at any one given time. Our goal is to be available for those opportunities when we see them; so MD, Auto, Sports, those are all things that we think have significant revenue opportunities to capture the money coming into those marketplaces. And then on the sale-side, the Reach business is something that is very important for publishers for a variety of different reasons and their ability to generate additional revenues. So it's hard for -- while we've had significant growth over the years that's growth that’s happened from multiple business units; so we went 5, 15, 30, 36, so that's been the last few years. And that's happened not just from one piece of business that's happened from multiple different things that we put together to help us have that growth. So while one thing might fall off a little bit, other pieces of the business are picking up.
Scott Reed: And just to follow up on that, as you think about the year ahead, it sounds like you're fairly comfortable that you’re well positioned to capture the latest and greatest in ad tech that your customers are asking for. But as you shift your strategy towards focusing more on the bottom line here, do you feel confident that you're investing enough in R&D, so that you can really stay ahead of the curve versus other, certainly larger players but at the same time I know that you guys have always been good at finding a niche that those guys overlook. So could you maybe just talk about that and what the product from future has in store for us?
Christopher Miglino: Yes, I would encourage you to join us on the Mexicali trip, so you could come and meet the 60 programmers that we have working on this stuff on a daily basis. So we have a substantial number of programmers that are innovating and creating new products every single day. And by no means, do I feel as if we're not contributing as much as our competitors are. So I think what we've been able to do is do what create what we've created much quicker and less expensively than a lot of our competitors have done. So we haven't had to go out and raise the substantial amount of money to get to where we are today as our competition has. So I think that we're -- I feel like we're well rounded in the R&D area. I think we have some great team members that are working on very innovative things, and helping us stay ahead of the curve. But I think that's coming and seeing that facility, and seeing the people that are working there and interacting with it, is well worth any investor’s time.
Operator: Looks like there are no further questions. I would like to turn the conference back over to Mr. Miglino for any additional remarks.
Christopher Miglino: Thank you very much. Thanks again for joining us today. We hope to see you at our investor conference in September and our Analyst Day in October. If there is any question that you have for us and like to reach out directly, please do so. We’re excited to talk to any of you and give any information that you might need to help provide you information. So thank you very much, and look forward to speaking with you soon.
Operator: And once again, that concludes today’s presentation. We thank you all for your participation, and you may now disconnect.